Operator: Greetings, and welcome to the Essex Property Trust, Inc. First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risks and uncertainties. Forward-looking statements are made based on current expectations, assumptions and beliefs, as well as information available to the company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found in the company's filings with the SEC. It is now my pleasure to introduce your host, Mr. Michael Schall, President and Chief Executive Officer for Essex Property Trust. Thank you, Mr. Schall. You may begin.
Michael J. Schall: Thank you. I would like to start by welcoming you to our first quarter earnings call. Mike Dance and Erik Alexander will follow me with comments. John Eudy and John Burkart are available for Q&A. I will cover the following topics on the call. First, Q1 results and commentary; second, cap rates and investment markets; and third, an update on the State of California. So on to the first topic. Yesterday, we reported another strong quarter with core FFO per share of $1.87, an increase of 14% over the prior year and equal to the high end of the guidance range that was presented on our last earnings call. Our operating results should be viewed within the context of our recent activity in the capital markets that was not fully considered in our original guidance. The result of these efforts is an improved balance sheet, with longer debt maturities, less variable-rate exposure, increased common equity, greater liquidity and a lower debt-to-EBITDA ratio, which is now below 7.0. Our Q1 results and most of the economic data give us confidence in our 2013 guidance. We acknowledged concerns about the level of housing supply, especially apartments, that are scheduled for delivery in 2013 and 2014 in selected submarkets, notably North San Jose and downtown Seattle. At the same time, there are several important factors that support our optimistic outlook and favorably differentiate the West Coast from other parts of the country. These factors are as follows. First, although March was a disappointing month from the perspective of national job growth, California continued to perform quite well. According to the BLS forecast, California is estimated to produce 30% of the nation's jobs in 2013 and is, therefore, expected to significantly outpace the national average in job growth. Second, production of for-sale housing continues at a muted pace, although its pace will likely increase later this year. This expectation is driven by the exceptional increase in year-over-year housing prices, up from 15% to 35% in the coastal markets. While the median priced homes still lag the high set in 2007 and 2008, they have recovered sufficiently to allow for-sale housing development. Our experience is that apartments benefit from high cost for-sale housing alternatives. Third point, the health of the apartment rental market depends both on job growth and job quality and the quality of jobs continues to be high in the coastal regions of California and Washington. High income jobs have a greater multiplier effect, more disposable income and greater wealth creation. A good indication of job quality is estimated personal income growth, which for 2013, is up 5.1% for Seattle; 4.9% for San Jose; and from 3% to 3.4% for Southern California, as compared to the national average of 3.1% . And finally, fourth factor. We look to the office market, H1B Visas and venture-capital investment activity for confirmation of jobs and economic trends. While the national office recovery has been modest since the Great Recession, we have seen significant improvements in several of the West Coast office markets. For example, since the Great Recession, San Francisco's office rent growth has led the nation, increasing approximately 30%. In the coastal markets, office absorption has outpaced the U.S. and is accelerating, major expansions of corporate campuses have been announced by Google, Apple, Amazon and several other companies. Another confirming data point is the demand for H1B Visas, which are used to admit foreign skilled workers into the U.S. A lottery-style approach was used to distribute 85,000 H1B Visas allotted in 2013, with all committed in less than a week. Finally, venture capital is another confirming data point. California received 47% or $2.8 billion of the nation's first quarter 2013 total D.C. investment. As a result of these factors, we continue to see a favorable ratio of housing demand to supply based on our job and supply estimates indicated on Page S16 of the earnings supplement. We estimate that housing demand, including both apartments and for-sale housing will, on average, exceed supply by a 2.5:1 ratio for the Essex portfolio. We conclude that the apartment markets will continue to report strong rental growth. While lease-ups will soften rents in a few places and create some level of volatility, we expect new apartments to be absorbed without major difficulty. My second topic, cap rates and investment markets. Cap rates are generally unchanged from last quarter and are currently in the 4% to 4.25% for A property and A locations, and in the mid-4% to low 5% range for B quality property in A locations. Cap rates increased from there to lesser locations and property quality. In the first quarter, deal flow that satisfies our criteria was relatively light, however, we still believe that we will achieve the $400 million in acquisitions contemplated in our 2013 guidance. We will likely start 2 additional apartment developments in 2013, aggregating approximately 500 units. We have become more selective for new apartment development opportunities and are looking for locations that we expect to improve, with rents that have strong growth potential. And finally, my third topic, concerns the State of California. We believe that significant progress has been made in California. While there is an ongoing discussion about future fiscal issues and the need for higher taxes, including modification of Prop. 13, the current condition has dramatically improved from just a few years ago. An improving California economy generates more tax revenue. A combination of an improving economy, reduction in cost and tax increases has eliminated the state's fiscal deficit in this fiscal year. According to media sources, general fund spending in the state has declined by approximately $10 billion or 9.7% since the 2007-2008 fiscal year. Prop. 30 will raise an estimated $6 billion in new taxes. As a result, the state expects to take in an estimated $2.4 billion more in revenue than it will spend this fiscal year, which ends June 30. That's exceptional progress relative to the $27 billion deficit that the state experienced just a few years ago. I would like to thank you for joining the call today. Now I'll turn the call over to Erik. Thank you.
Erik J. Alexander: Thanks, Mike. Essex enjoyed another strong quarter of property operations, and we are pleased with our results. Demand was strong and improved throughout the period. Turnover was lower than forecasted and we are poised to take advantage of what is expected to be a solid peak leasing season. New lease and renewal activity maintained strength, following a good fourth quarter, and not since before the recession have we started off the year with economic rent increasing every week for 4 straight months. As of April, loss to lease for the portfolio was 4.2%. As projected, average renewal rate increased 5% during the quarter and are expected to continue at that level through July. Furthermore, the average rents achieved on all new lease transactions in April reached their highest point ever and are $70 higher than renewals recorded in the same month. So with portfolio occupancy at 96.4 at the end of April, and our net availability less than 6%, we feel confident about the strength of our market and our ability to achieve our plan for 2013. Bolstering that confidence, the preliminary revenue results for April were at the top end of our revenue guidance for the year. But if there was any surprise during the first quarter, it was lower turnover than planned. Despite strong rent growth and higher renewal rates, turnover for the portfolio decreased 2% compared to the first quarter of last year, with the lowest turnover actually in Seattle. Turnover due to home purchase decreased from the fourth quarter and remains in check across the portfolio at less than 12%. We do expect an increase in moveouts due to homes purchased in the upcoming quarters and anticipate that it will remain well manageable levels. Overall, lower turnover, coupled with rising economic rents, high occupancy and increasing demand should help us maintain pricing power across most of the portfolio throughout the summer. Expo was the only active lease sector in the quarter. As forecasted, we stabilized this community in April. Congratulations to the Expo team for averaging 37 leases per month during the slowest time of the year. I think this is another testament to the strength of the Seattle market. Demand in leasing volume have remained strong in the downtown despite new product deliveries. Next quarter, I will provide initial leasing results for Essex as we begin pre-leasing activities this month. Now I'll share some highlights for each of our regions beginning with Seattle. Properties in the region have met or exceeded expectations so far this year and enjoyed collective rent growth second only to parts of the Bay Area. We have posted company leasing rent growth for new leases in April and we remain confident that this market will meet growth expectations for the year, especially on the East Side. Employment growth remains strong in the region, with a year-over-year increase of 2.5%. Job growth details for all of our markets can be found on S-16 of the supplements. Given the robust hiring that continues at Amazon, Microsoft, Google, Intel, Cisco and Visa, we believe job creation will match or exceed our forecast for the year. Of equal importance, the Seattle metropolitan division posted the highest personal income growth at any of our markets, with expected gains over 5% for 2012 and 2013. Office absorption showed continued strength with 1.6 million square feet of space absorbed during the quarter, or nearly 2% of total stock. I think it is safe to conclude that Seattle remains a hot job market and our portfolio should benefit from these commercial activities throughout 2013. In Northern California, continue to lead the way for Essex with the highest growth in rental rates and revenue for the portfolio. The primary reason is the job growth continues to be strong in the Bay Area and the current rate of formation is outpacing our forecast on a year-over-year basis. All submarkets are ahead of schedule and are led by growth in professional and business services. San Francisco and San Jose job exploits are well-known, but the East Bay continues to make meaningful strides in employment, adding 21,000 jobs in the last 12 months. First quarter office absorption in the Bay Area was positive in all submarkets, but it is interesting to note that East Bay led the region with 600,000 square feet of net absorption during the period. Multifamily deliveries in North San Jose continue as expected. The demand appears to be sufficient to occupy all of these new offerings. Pricing in the submarket increased 3% during the first quarter and concession activity remained normal for the communities looking to achieve a high rate of absorption. Turning to Southern California. Los Angeles leads the result, followed closely by Orange County. We expect the relative submarket rankings to remain the same throughout 2013, but do look for Los Angeles and Orange County to increase momentum this summer. San Diego has not been very exciting so far this year, but given that unemployment has dropped below 8% and our job forecast is ahead of schedule, we do expect San Diego would have a better second half of the year. Current occupancies in the county are above 96% and rents moved up in April. Ventura is ahead of San Diego in terms of rent growth and should perform in line with expectations on modest job growth, high occupancy and low new supply. The jobs picture in Southern California continues to improve in all submarkets, again led by professional and business services. Los Angeles, Orange and San Diego counties have all seen job growth rise from below the national average last spring to well above the national average in March, and all post rates of job growth above 2%. The West side of Los Angeles continues to be the strongest, with creative and tech companies like Amazon and Beats by Dre. seeking additional space, while PEMCO, Hyundai and Google expand in Orange County. Office absorption in Southern California remains positive and large projects like the expansion of Universal Studios, approval of USC Village, and groundbreaking of Runway imply this is a signal of continued economic recovery in Los Angeles. Therefore, we remain confident in all of our markets and our ability to execute our plan in 2013. Thank you for your time, and I'll now turn the call over to Mike Dance.
Michael T. Dance: Thanks, Erik. Today, I will provide commentary on our recent capital markets activity and provide details on the second quarter's and full year's guidance. In April, Essex issued $300 million of 10-year senior unsecured notes at an effective rate of 3.35%. That proceeds from the offering we used to pay off the balance on our lines of credit. While there is a temporary mismatch on the timing of the use of the proceeds, we felt it was an opportune time to enter the market and prefund some of our future debt needs. At the end of April, our cash balance was approximately $100 million, with no balance on our bank revolving credit line. By reducing our variable rate exposure with 10-year bonds and prefunding the debt component of the 2013 development expenditures, we estimate that the additional interest cost will reduce FFO in Q2 by $0.04 per share compared to the Q1 2013 results. Also in Q1, we see -- we received approximately $40 million from the early payment of indirect real estate investments, which were yielding over 9%. These prepayments will reduce interest income by $0.02 per share in Q2 and subsequent quarters. The $0.06 loss with sequential FFO will be offset by a sequential increase in net operating income for our midpoint in Q2 core FFO guidance of $1.83 per share. For the first quarter, we achieved 5.9% year-over-year rent growth of the same property revenues and 5.3% increase in same property expenses. Both metrics were better than our internal projection. Our same property expense growth in Q1 was higher than our full year guidance of 3% to 4%, as we have tough operating expense comparisons for the first half of the year. Operating expenses during the quarter were negatively impacted by 25% higher property taxes in Seattle, with increases of both the assessed values and levy rates. For 2013, we are affirming the guidance for FFO and same property operating results provided in January. If the new lease and renewal results that Erik just reported for April continues through the next 2 months of the quarter, we are well-positioned to achieve close to the high end of our revenue growth guidance in the second quarter. Year-over-year same property operating expenses for the second quarter are forecasted to be similar to the first quarter. Operating expenses for the second half of the year are forecasted to be below the full year guidance range, as the comparative periods in the second half of 2012 are more reflective of the operating expense run rate for the portfolio. The improvements in our gross operating margins are expected in the second half of 2013. With the strong operations meeting our internal expectations, we are maintaining 2013 FFO guidance despite having issued, in April, $300 million of unsecured bonds, which was not anticipated in our January guidance. To be clear, had we not issued the bond and received the early payment on high yielding investments, we would have been able to increase our FFO guidance. That ends my comments, and I will now turn the call back over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from line of Nick Joseph with Citi.
Nicholas Joseph - Citigroup Inc, Research Division: Great. You mentioned that first quarter's same-store revenue growth of 5.9 was maybe a little ahead of your expectations. So just looking at the full year guidance of 5 to 6.5, are you expecting revenue growth to kind of trend towards that 5.9? You're not expecting really a deceleration going forward?
Michael J. Schall: We haven't seen it in April. And based on where renewals are going out, and what we're seeing, nothing shows deceleration for the portfolio.
Nicholas Joseph - Citigroup Inc, Research Division: Okay. Then in terms of the development, are you seeing any construction cost pressures?
John D. Eudy: This is John Eudy. Of course we are. Fortunately, our portfolio under construction is 95% bought out. But in the future for the next 6 to 12 months, there's going to be high single-digit increases is our thought.
Nicholas Joseph - Citigroup Inc, Research Division: All right. And then finally, Erik, can you talk about your thoughts on the ATM program, how you balance the desire to match fund and continue to improve the balance sheet with where your current stock price is today relative to NAV?
Erik J. Alexander: Yes, I think that was one of the reasons we looked at the bond market. Obviously, we are very pleased with the pricing of our 10-year bond and relative to our stock price right now, we basically, intentionally deferred some of our equity raise and prefunded some of our debt raise. And we hope with continued strong results that we are expecting, the cost of the common equity will go down. But we need to continue to deliver the results we're seeing.
Operator: Our next question comes from the line of David Bragg, Green Street Advisors.
David Bragg - Zelman & Associates, LLC: A little bit in detail about your underwriting of Fox Plaza, your going-in yield and your expected IRR?
Michael T. Dance: Sure. Fox Plaza is our acquisition on Market Street, in San Francisco. It's across the street from the brand new Twitter Headquarters. And it's a very vibrant, changing, improving area. So that is the first very important point in that acquisition. It is a rent-controlled building. And as a result, you could expect our going-in yield to be lower than comparable transactions, given rent control. And that was certainly the case. There was a low 4 type going-in yield. But a much higher cap rate on market rents. In other words, there was a very large loss to lease there. The cap rate on market rents was approaching 6%. And so in the short-term, as you're turning units, you don't benefit as much obviously because of the going-in yield is lower. But over time, we hope to capture that large loss to lease and get closer to the economic cap rate given rent control. Does that help, Dave?
David Bragg - Zelman & Associates, LLC: Yes, that's helpful. And my next question is just about Southern California. Last quarter, you spoke about the region having underperformed your expectations so far on this recovery. In the first quarter, your revenue growth was at the low end of full year guidance. So after 4 months of this year, are you disappointed again with the region or are you optimistic that it will accelerate, putting you at the top half of your guidance range for that region for the year?
Michael J. Schall: Yes, Dave. This is Mike, and Erik may want to follow up as well. Keep in mind that we just came out of our seasonal period. Our peak leasing season begins in effectively March 1, and we see most of our growth during that period of time. So as it relates to guidance revision, other types of things, keep in mind that we just came out of a seasonal period. And so the first quarter may or may not be as relevant as some of the other quarters. In fact, I would say Q2 is the most relevant quarter. We go effectively from having near 0 loss to lease at December 31, given seasonality, primarily, and we see how strong the markets bounce back as we enter into the peak leasing season. And where as Erik said, we are favorably impressed by what we see out there, and I think that we're on track for a strong peak leasing season. Having said that, relatively new and a couple of months does not make a year. And so we are erring maybe a little bit more on the cautious side.
David Bragg - Zelman & Associates, LLC: So just specifically, Mike or Erik, you said you expect 5% renewal gains April through July for the portfolio? Where would you put those for Southern California?
Erik J. Alexander: There's going to be a range in SoCal on the lower end. Maybe the 3s in San Diego or Ventura again. They could be higher depending on that specific address, too. 5s and 6s in parts of Los Angeles, certainly the West side and Downtown. We see strength and we have a good demand and higher occupancy. So we're hopeful and optimistic about the upcoming summer. But as Mike said, we'll know a lot more in the next few months.
Operator: Our next question comes from line of Rob Stevenson with Macquarie.
Robert Stevenson - Macquarie Research: Can you talk a little bit about San Jose, Seattle, when the biggest percentage of the development comes online and sort of how you sort of -- when you see that despite robust job growth, what do you do to sort of prepare for that for your existing assets in those markets to avoid the sort of cycle where 1 month, 2 months starts becoming 3 and people start moving out?
Michael J. Schall: Sure. In San Jose, it's really a unique situation in that, a couple of years ago, the city was trying to incentivize new development of apartments before we saw any of the rent increase activity and they granted waivers of the BMR requirements and some other things to help developers start construction. That was granted to 5 -- on 5 transactions, aggregating somewhere around 3,000 units. All those units are going to hit, at some point in time, in '13, the '13 to '14 period and, therefore, that is where the sluggish supply is coming in San Jose. And again, it's right there before us. Irvine was the first to deliver and a couple of others long station and there's a series of transactions that are coming in for the rest of 2013 and into 2014. In Seattle, we see just a continued amount of supply. Our estimates, if you look at multifamily deliveries in '13, we have 6,900 units. In 2014, we think it's probably 8,000, so we'll see continued supply of multifamily units in Seattle, maybe even a few more than we see in 2013. In Northern California, it was in San Jose, specifically, we think it will, given what I said, it will be reduced. It will go from 4,100 deliveries of apartments in 2013 to 3,500 in 2014. Again, those numbers can change, especially in the 2014 numbers. We track this pretty carefully and so it's pretty sensitive, obviously to our overall results. Having said all those things, given job growth, we think that we can absorb these levels of supply and still have very strong rent growth and so we don't expect, based on what we see in front of us today, for a significant amount of deceleration in rents in 2014.
Robert Stevenson - Macquarie Research: Okay. Given what you guys had said earlier in the call about high single-digit increase in construction costs, meaning, I would imagine that, at this point, rental rates are still keeping up with that to an extent where yields haven't -- on developments haven't just fallen off a cliff. But how much higher do construction costs really have to go in your markets before it starts really choking off yields to the point where you are seeing a real decrease of supply?
Michael J. Schall: That's already happening, Dave or Rob, excuse me. The potential deals today compared to when we were underwriting and doing the funding of our deals that we have in our pipeline now 2 years ago, is very, very minimal on what hits the radar, from our perspective as far as potential deals. I think the market's recognizing that as well. There's a lot of deals out there being chatted about and talked about amongst various folks from merchant builders on up. But on a go-forward basis, I see, the supply starts -- starting to taper off considerably, just for that reason.
Robert Stevenson - Macquarie Research: Okay. And then just lastly, what's the -- you've got a few redevelopment projects on the books these days. What's the outside of those projects, what's the incremental opportunity from a redevelopment standpoint that makes sense from a returns perspective today?
John F. Burkart: This is John Burkart. There's actually a variety of opportunities in the portfolio. One of them that we're starting to embark upon is the reamenitization of the assets. Just basically updating the amenities to modern standards. Another one of course we're continuing is the unit turns. We have a substantially increased our unit turns this year from last year, and we'll continue to do so. Obviously, the major renovations are still part of the opportunity to grow some limited inflow opportunity. And then, of course the condo auctionality on many of the assets that we have. So we're pretty excited about the value of the portfolio right now.
Robert Stevenson - Macquarie Research: Can you help us quantify what that, in terms of units, in terms of dollars, that you could put out over the next couple of years in that type of project?
John F. Burkart: Yes, the units -- we're probably going to hit about 1,200 renovated units this year. There's a range of, say, 1,000 to 1,500 and Erik's team and my team work very closely together to make a lot of good decision based on market conditions, et cetera. So it may vary, but the targets around $1,200. We're typically investing around $20,000 per property -- per unit and our returns are averaging 10% to 15% on that. Additional renovation opportunities funds, we're in the $10 million to $20 million range on the assets overall. That's in addition to unit terms. Does that help?
Robert Stevenson - Macquarie Research: Yes, I just want to quantify as to how big of a growth driver. It sounds like there's opportunity but it's still in terms of [indiscernible] at this point. Over the next couple of years it's not going to be a material sort of tailwind from a growth perspective.
Michael J. Schall: Rob, I think part of that is philosophical in nature, and that rather than throwing a chunk of money at a renovation program, we try to be purposeful. We try to look for low hanging fruit. We try to not have a one-size-fits-all type of approach. And I think that we end up with a better overall result doing that. The reality is, we have most the housing stock in the West Coast and certainly within our portfolio is 20 to 30 to 40 years old, and there's a lot of redevelopment potential within it. In terms of how to actually execute a redevelopment program, that's where there's, I think, very significant strategic differences among the apartment companies. And we tend to take the maybe a little bit more conservative approach, which is try to be very purposeful with respect to how we invest that money.
Operator: Our next question comes from in line of David Toti with Cantor Fitzgerald.
David Toti - Cantor Fitzgerald & Co., Research Division: Just one quick one. Mike, this one is kind of for you. You guys have obviously taken the opportunity to sort of laterally invest opportunistically over the past couple of years. But it's been somewhat quiet the last few quarters. Is that partially because of the deal flow or do you think that pricing, even in the lateral investment opportunities, is a bit beyond your hurdle rates?
Michael T. Dance: Yes, it's really the deal flow. There are 2 things I think that are happening. Number one, there are more deals that are not within what we define as our core markets. A lot of sales are on the periphery. And property that we really don't want to own. So there actually have been transactions, but really not transactions that we -- that fit our criteria. So I think that's number one. And number two, I think there's just been a slowdown in overall deal activity. And, I guess, the third piece is, it's harder for us to make the numbers work, given that last year we grow through core FFO 21%. We're starting the year with very solid growth rates, which makes our equity more expensive and, therefore, more difficult to invest at a positive spread, in terms of what we're looking at. So it's really all of those factors. Having said that, we have more modest expectations this year. Last year, we did about $800 million in acquisition. This year, we expect to do about $400 million. So I think we're still on track to hit that number.
David Toti - Cantor Fitzgerald & Co., Research Division: Okay. And then my second question just has to do with the asset you are planning to sell from the fund. I might have missed this earlier. If you guys are hesitant on the acquisition side, what is the buyer profile on the other side of those potential deals? What kind of buyers are looking at those assets and finding it meets their hurdle?
Michael J. Schall: There is a lot of activity in those transactions. And most of those properties are very well located. And they will fall within the cap rates that I talked about in my prepared remarks. And so for well located property there's still plenty of buyers out there that are very interested in those properties. So I don't see that changing. I mean, I think that you would start seeing cap rates change if you started seeing investor activity pull back. Cap rates are probably more a function of how many dollars, investor dollars, are chasing how many deals than they are expected growth rates in IRRs and that type of thing. So we still see plenty of money out there.
Operator: Our next question comes from the line of Michael Salinsky with RBC Capital Markets.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: Erik, first question. What was the sequential rent growth in the first quarter and also, if you look at the blended rents for the quarter signed, how does that compare versus the first quarter of 2012?
Erik J. Alexander: The sequential rents are .08%, and over last year, on the -- let me look that up for you, but I think it's -- well, I don't want to guess at it. I'll get back to you on that.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: Okay. I appreciate that. And second question. Mike, just to go back to David's question about the acquisition pricing in the market, how far off are you missing on the deals? How much is pricing outside? And on your numbers and your gross expectations, where is the market pricing coastal multi-family assets today on an IRR basis?
Erik J. Alexander: I don't really think that's the issue, Mike, because we're just kind of underwriting the same quantity of deals that we underwrote over the last couple of years, which surprises me a bit because even last year, I think was -- the transaction volume was somewhere around 70% of what it was in 2007, 2008. So we had, even last year, we had less transaction volume. We're seeing even less this year. I think a lot of that has to do with what has happened with rents over the last past several years. If you go back to 20 to 30 years, there was not this peak leasing season concept nearly to the extent that it exists today. Rent increased more ratably throughout the year. Now you have a 4-month period that your entire year is essentially predicated on, from March to July or August, let's say. And so all things being equal, I think sellers and owners would rather wait a little bit longer and see how good the peak leasing season is before listing their building it because obviously, if the NOI goes up, they can justify higher NOI, they're going to get the higher price. So I think it's probably more that, but we'll tell you next quarter.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: I don't have the quarterly information that you asked about, but the most recent information which would be the complete month of April compared to last year is 7% higher on the new lease -- on all new lease transactions.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: Okay, that's encouraging. And just a final question. I think previously, you've mentioned 2014 is kind of the year you expected Southern California to outperform Northern California. Is that still a reasonable expectation?
Michael J. Schall: Well, we've been expecting Southern California to improve faster than it has. So I think that's the one area that we've been a little bit off. The magnitude in Northern California and Seattle of rent growth and the pace were much better than we thought. But the pace in Southern California offset the benefit we saw up here. So we're going to make a similar guess. I'm not sure that, and Erik may have a different opinion, but I'm not sure that they're going to crossover in 2014. Part of that is due to, if you look at personal income growth is so strong in the North. When you're at 4% to 5% personal income growth and 2x to 2.5x ratio of demand to supply, which were the numbers that we were quoting actually and even more strong in the North, we are starting to think that Northern California and Seattle can remain stronger, longer than we thought. And so we feel good about that and at the same time, I think our expectation for Southern California is the continued slow, methodical improvement that we've had thus far, recognizing, however, that pricing power is a function of availability in the marketplace. And there's a big difference if you add -- 95% to 96% market occupancy, we get quite a bit more pricing power over that 1%. So it's more like an exponential impact, if you go from 96% to 97%, you start picking up more pricing power. So we could be wrong, we think that things will go in the right direction. It's just been painfully slow in Southern California. So I'm not so sure that they -- I see them as more equitable than probably one outpacing other at this point.
Operator: Our next question comes from line of Paula Poskon with Robert W. Baird.
Paula J. Poskon - Robert W. Baird & Co. Incorporated, Research Division: Are there any other industries in your markets that you think will have accelerating significant job growth outside of technology?
Michael J. Schall: I mean, life sciences is the other obvious one. In Southern California, we're seeing these are not as good as quality jobs, but certainly leisure, hospitality seems to be doing really well in Southern California. So I'd say anything having to do with tech, energy, life sciences are really the top of the radar screen in terms of the types of jobs that we're looking for. And then of course professional services are always good as well. So I'd say all 3: professional services, life sciences, tech and energy, which we don't have so much of.
Operator: Our next question comes from line of Ross Nussbaum with UBS.
Ross T. Nussbaum - UBS Investment Bank, Research Division: I just want to clarify, when you said that in April, the new leases were up 7%, is that over the expiring leases?
Michael J. Schall: No. So that's all new leases executed in April versus all new leases executed last April.
Ross T. Nussbaum - UBS Investment Bank, Research Division: So effectively, sort of market-asking or -taking rents are up 7% year-over-year?
Michael J. Schall: There's quite a bit of noise in this over expiring because our expiring includes, if someone goes from a -- goes into a month-to-month premium, it's picked up in the denominator of that calculation. So there's been over the last couple of years more and more the disconnect between the expiring lease rate. And, in fact, I've encouraged our people to either create a new metric or deemphasize that one because it's not relevant. I mean, we were talking about in Q1 somewhere around 5% renewals and 5% new lease rates, yet we were better than that. And so I think that there's -- some part of this is a disconnect in how that metric is calculated and I think it's becoming a little bit less relevant than it was a couple of years ago.
Ross T. Nussbaum - UBS Investment Bank, Research Division: Yes, that's sort of where I was trying to go, because I was looking at the back of your supplement in terms of the 6.1% market rent growth forecast you had for this year and I was just sort of trying to tie that back to the 5% renewals, 7% new leases. And I mean, they are all in the same ballpark, I guess, I mean it gives us a sense that, that's roughly what you are achieving.
Michael J. Schall: Yes.
Ross T. Nussbaum - UBS Investment Bank, Research Division: I thought it was notable that you didn't change your estimated market rent growth forecast from last quarter. You didn't just simply paste the page in to this supplemental. You continue to believe that the market is as strong today as it was the last time you put out your supplemental.
John F. Burkart: Yes, that's absolutely the case. This is John. We continue to get great job data, which is actually better than what we had in our supplemental. And we're seeing a great experience out of operations because [indiscernible]
Michael J. Schall: [indiscernible] There's one more factor, which is I'm sort of philosophically opposed to raising guidance 2 months after we give it originally. So I was a -- I weighed in against the guidance change candidly, because we just gave it to you in February and it's only April, and I want to see a little bit more about what happened. So perhaps, I'm part of the problem there.
Ross T. Nussbaum - UBS Investment Bank, Research Division: The last question, you guys have been opportunistic in the past, and I'm curious, when you look at the stock prices of virtually all of your peers in the multi-family REIT sector and you look at them and say, most of them might be trading at discounts to the cap rates that you're seeing in the market, do you have any inclination to go out and buy a few shares of public companies rather than direct assets?
Michael J. Schall: You are so smooth, Ross.
Ross T. Nussbaum - UBS Investment Bank, Research Division: I'm not saying -- I'm not bringing up BRE. I mean, this is a whole different... I'm not going down that -- I'm not saying that you want to buy the company, I'm just sitting here, saying you've done these kinds of things in the past. And I'm curious if that's still something you spend time thinking about.
Michael J. Schall: I mean, we do try to understand the environment that we're in, but at this point in time, it's really not worth spending our time. There's a lot of other things that I think may be more interesting to us. So we are working on some transactions that are similar, but maybe a little bit unique. So no, that's not where we're spending our time right now.
Operator: Our next question comes from the line of Rich Anderson with BMO Capital Markets.
Richard C. Anderson - BMO Capital Markets U.S.: Do you have any properties in Camarillo?
Michael J. Schall: We do.
Richard C. Anderson - BMO Capital Markets U.S.: There's a big fire there right now, just FYI.
Michael J. Schall: Okay.
Richard C. Anderson - BMO Capital Markets U.S.: So that's, that. So...
Michael J. Schall: [indiscernible] We have several properties in Camarillo.
Richard C. Anderson - BMO Capital Markets U.S.: Okay. So take a look. I guess, I just want to ask a bigger picture question. I mean, we talk about granular detail, cap rates and renewal increases and all that sort of stuff and yet the sector still underperformed NAV discount average of 7%. Nothing is really working when we get on these calls. And I'm curious if you could think, Mike or anybody, of big picture, what do you think has to happen for the sector to start performing better as a group or even you, yourself? I mean, do you think that there is a catalyst out there in a positive way? Do you think 2014 might do better than people are expecting? Do you have a big picture comment about how we can get the sector moving and acknowledging what is a good value and also good growth?
Michael J. Schall: That is a great question. And I wish I had the answer. I will make the comment that I made to Mike D., which is this was the first year in his 8 years here that he wasn't accused of sandbagging with respect to our guidance this year. So I thought that goods from quarterly results, which we consider these results to be pretty strong, especially coming out of the first quarter, which has an element of seasonality. And that comment, that we still saw the West Coast as being a great place to own property and then confirming that with actual results would be a positive thing. But as I look to the stock over the last day, that doesn't seem to be the case. So I think it's more of the same. I think it's proving it out and I think the expectation of investors or the concerns of investors are maybe too large, relative to the reality. So again, I don't know how to -- if I could say it any differently. I tried to bring up the points in the script that supports the reasons why you should own properties on the West Coast. I hope that resonated.
Richard C. Anderson - BMO Capital Markets U.S.: Do you think that 2014 -- not to give guidance, of course, but do you think 2014 could be a bit better than what people are kind of dialing in to their numbers right now?
Michael J. Schall: I think implied in my comments, which again, when you see personal income growth in the 3% to 5% range and you see ratio of housing demand to housing supply at 2% plus, those would be bullish indicators and they would mean that you would not expect to see any meaningful deceleration going forward. So yes, I expect a very good 2014. And candidly, we could be maybe surprised by Southern California that it has continues its slow but steady recovery. So I think 2014 will be another good year.
Operator: Ladies and gentlemen, there are no further questions at this time. I'd like to turn the floor back to management for any closing comments.
Michael J. Schall: Thank you, operator. And thank you, everyone, for joining the call today. We look forward to seeing many of you at NAREIT and we will look forward to the next quarter's call. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.